Operator: Hello, and thank you for standing by. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the TETRA Technologies Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Kurt Hallead, Treasurer and Investor Relations. Kurt, please go ahead.
Kurt Hallead: Thank you, Tiffany. Good morning, and thank you for joining TETRA's Third Quarter 2025 Earnings Call. The speakers for today will be Brady Murphy, Chief Executive Officer; and Elijio Serrano, Chief Financial Officer. Before we begin, I'd like to call your attention to the safe harbor statement in our Form 10-Q. Some of the remarks we make today may be forward-looking and are subject to risks and uncertainties as outlined in our SEC filings. Actual results may differ materially from those expressed or implied. In addition, we may refer to adjusted EBITDA and other non-GAAP financial measures. Please refer to our press release for reconciliations of GAAP to non-GAAP measures. These reconciliations are not a substitute for GAAP financials, and we encourage you to refer to our 10-Q that was filed yesterday. After Brady and Elijio provide their comments, we will open the line for Q&A. I will now turn the call over to Brady.
Brady Murphy: Thanks, Kurt, and good morning, everyone. Welcome to TETRA's Third Quarter 2025 Earnings Call. Late last week, our colleague and good friend, Elijio, announced that he will retire at the end of March next year. As part of TETRA's succession planning process, Matt Sanderson will replace Elijio as CFO. Matt is currently Executive Vice President and Chief Commercial Officer, having joined TETRA in November of 2016. Through the end of March 2026, both executives will continue in their existing duties and responsibilities to deliver and execute on the company's One TETRA 2030 objectives. Upon his retirement, Elijio will continue to serve in an advisory capacity for the company. Since I became CEO in May of 2019, Elijio has played a key role in working with me and our Executive Team to refocus the company on our core fluid chemistry expertise and the results speak for themselves. From guiding the company through arguably the industry's most challenging period during the COVID-19 pandemic through the divestiture of our general partnership in CSI Compressco and shaping our One TETRA 2030 strategy, Elijio has been a strong contributor to our current success and future outlook. I, the Board of Directors and the rest of the Executive Team are very grateful for his contribution and are pleased he will continue to serve in a non-executive advisory role. Fortunately, we have a strong Executive Team that many of our investors had the chance to see and hear from at our recent Investor Day at the New York Stock Exchange in September. And as part of our succession planning process, Matt is well-prepared for the transition to CFO. The recent addition of Kurt Hallead as VP of Investor Relations, FP&A and Treasury, along with Katherine Kokenes as CAO, has significantly strengthened our current and future financial organization. I'm confident there will be a smooth and seamless transition. Now I'll summarize some highlights for the quarter, provide an update on our strategic initiatives before turning the call over to Elijio to provide some more details about the financials and our guidance. Our employees delivered a very strong third quarter results against the backdrop of an ongoing challenging industry environment. Our third quarter, combined with our first quarter year -- first half year results, allowed us to reach the highest revenue of $484 million and adjusted EBITDA of $93 million in the past 10 years. Mainly driven by chemicals and deepwater completion fluids, this 10-year record is further highlighted by the fact that the overall deepwater rig count is 40% lower than it was 10 years ago, emphasizing the significant deepwater market penetration we have achieved. For the quarter, we achieved revenue of $153 million and adjusted EBITDA of $25 million with adjusted EBITDA margins of 16%. This represents an 8% year-over-year increase in revenue and 7% rise in adjusted EBITDA, driven by continued strength in our offshore completion fluids and industrial calcium chloride business. Third quarter Completion Fluids & Products revenues increased 39% compared to the previous year period, with adjusted EBITDA margins rising by 6.9 -- sorry, adjusted EBITDA rising by $6.9 million. Through the first 9 months of the year, Completion Fluids & Products adjusted EBITDA margin reached 34.5%, a 500 basis point improvement compared to the same period in 2024. This was driven by a successful completion of three TETRA Neptune wells in the Gulf of America, increased demand for high-density zinc bromide completion fluids, strong contributions from Brazil deepwater projects and robust calcium chloride results in Northern Europe. For full year 2025, we believe completion fluids may reach a 10-year high. As highlighted at our recent Investor Day, the long-term outlook for the Completion Fluids & Products business remains strong, driven by deepwater completion activity, exceptional performance in our industrial chemicals business and a material increase in battery electrolyte revenue as our customer ramps up deliveries from its first automated production line. Water & Flowback Services revenue declined 2% for the second quarter and 18% year-over-year. Adjusted EBITDA rose 18% sequentially due to better cost controls but fell 33% from the same period last year on lower activity. Sequential adjusted EBITDA margins improved by 200 basis points to 12%, driven by higher utilization of our patented automated TETRA SandStorm and Auto-Drillout units, efficiency gains and cost controls. This performance was achieved despite a 12% sequential decline in U.S. frac crew count and a 27% decrease compared to the second quarter of 2024. Despite a muted outlook for the U.S. frac crew count, we expect our onshore testing and flowback business to benefit from three industry trends: longer laterals, increased sand and water usage and a continuous rise in overall volumes of produced water. Outside of the U.S., we are seeing the benefit of material increase in overall unconventional activity in Argentina and the Middle East. We are currently 100% utilized with our Automated SandStorms units in Argentina and have recently been awarded TETRA SandStorm work in the Kingdom of Saudi Arabia. In Argentina's Vaca Muerta region, we've been awarded five contracts related to production testing, SandStorms and two production facilities, one of which is now operational and the second is expected to go live in the first quarter of 2026. These recent wins in Argentina, utilizing the technology we've developed in the U.S. on conventional shale plays are expected to almost double our revenue next year in Argentina, helping to minimize the uncertainty in the U.S. onshore activity. With respect to our Arkansas bromine plant, we've generated $58 million of base business free cash flow and invested $28 million in the project through the first 9 months of this year. We are on schedule and under budget for Phase 1 of the project and remain confident that the plant will be fully operational by the end of 2027. The plant will have the capacity to process 75 million pounds of bromine per year, which is more than double that of our current long-term third-party supply agreement. This will also enable TETRA to generate between $200 million to $250 million in additional revenue and between $90 million and $115 million of adjusted EBITDA, as noted in our definitive feasibility report. Adjusted EBITDA target contribution is underpinned by lower input costs and additional volumes for the battery electrolyte and deepwater completion fluids business. At our Investor Day on September 25, 2025, we unveiled One TETRA 2030, a strategy focused on leveraging our core fluids chemistry expertise into new high-growth end markets, notably delivering battery electrolytes for long-duration energy storage as well as oil and gas produced water desalination solutions. Our goal is to more than double revenue to over $1.2 billion and triple adjusted EBITDA to over $300 million by 2030. We're very appreciative of the attendance and the interest in our Investor Day presentation. The feedback has been overwhelmingly positive and supportive of the strategy and the Executive Team that will deliver the One TETRA 2030 targets. On the electrolyte front, we're encouraged by the progress Eos Energy continues to make in automating their first manufacturing assembly line and its recent announcement that it will expand its manufacturing capacity in 2026. As the AI push continues to drive increasing energy demand, the importance of power stability through zinc bromide long-duration storage systems appears to be gaining traction, mainly due to its safety, scalability and domestic sourcing. To account for that, we have completed the installation of our bulk delivery system, which will significantly increase electrolyte volumes in 2026. Moving to Water Treatment & Desalination; the U.S. Oil and Gas industry is facing increasingly urgent challenge in managing produced water, particularly in the Permian Basin, where over 6 billion barrels of wastewater are injected into saltwater disposal wells annually. This traditional underground injection method is becoming less feasible as downhole formation pressures keep increasing and storage pressure -- storage [ core ] pressure fills up. With the commercial launch of TETRA Oasis and the engineering design of the industry's first 25,000 barrel per day produced water treatment and recycling facility, TETRA is well-positioned to lead in solving this problem. The front-end engineering and design has been completed and the estimated capital and operating expenses are within our initial projections for the project. This step is facilitating commercial discussions with multiple customers, and we remain confident that we could sign our first commercial contract in the coming quarters. We have a strong free cash flow generating base business and our One TETRA 2030 strategy will enable us to leverage our fluids chemistry expertise into new high-growth end markets. We believe this transformation will enable TETRA to generate over $100 million in annual adjusted free cash flow by 2030 and drive meaningful cash returns for our shareholders. Now I'll turn it over to Elijio to discuss the financials.
Elijio V. Serrano: Thank you, Brady, and thank you for the kind words. I'm not going anywhere nor slowing down between now and next March. We've got a job to do. We ended the third quarter with $67 million of cash on hand and net leverage ratio of 1.2x. Throughout the year, our focus has been on generating free cash flow from the base business to maintain a strong balance sheet and to self-fund as much of the bromine project as we can. We have accomplished this through aggressive cost reductions in our onshore business, carefully scrutinizing all capital expenditures and remain very focused on managing our working capital. Working capital was $113 million at the end of September, an increase of only $4 million from year-end. As a comparison, third quarter revenue of $153 million was $19 million higher than the fourth quarter, yet working capital was only up $4 million. DSO has improved two days from the fourth quarter. This highlights the focus we have on generating cash from the base business by managing inventory and receivables. Since the end of September four weeks ago, our liquidity has further improved, increasing $10 million from $208 million to $218 million, inclusive of the $75 million delayed draw feature that is available to TETRA for the bromine project. In an effort to further reduce our cost structure and reduce corporate G&A expenses, we are expecting to relocate to a new corporate office later this quarter. The new office is a short distance from the current office in the Woodlands. Compared to our current lease, we expect to reduce lease expense by approximately $2 million per year. We updated our 2025 guidance. Income before taxes will reflect a fourth quarter noncash charge as we early terminate the existing lease and move into a new lease with significant lease concessions for the first two years. With respect to the outlook, total year projected EBITDA is now expected to be between $107 million and $112 million. This compares to our prior total year estimate of between $100 million and $110 million. And this takes into account the stronger-than-expected third quarter that benefited once again by strong offshore activity. The fourth quarter is expected to see continued weakness on the onshore side. The timing of deepwater projects in the fourth quarter will dictate whether we are near to the lower or the higher end of the guidance range. Recall that as deepwater activity improves, some projects moving between quarters can have a meaningful impact on this or the next quarter, and some of these projects are hard to predict exactly when they will be completed. U.S. onshore remains challenging, but we continue to leverage automation, technology and strong cost control to keep our margins in the double-digit range. The wins in Argentina will be a tailwind for us next year and are expected to improve our onshore margins. Eos and the deepwater market will also be a tailwind for us next year. Let me close by summarizing what I believe to be the items everyone should focus upon. First, the third quarter was another quarter where we outperformed with stronger-than-expected revenue, EBITDA and cash flow. We like the cadence that we are on. Second, we continue to win work both offshore and now with the significant wins in Argentina that Brady mentioned. The base business is performing in a challenging market environment. Third, the immediate milestones we laid out as the road markers toward 2030 are materializing. Eos volumes are increasing and Eos is launching the build of their second line. The bromine plant remains on schedule and within budget, all self-funded. The front-end engineering study for the first desalination facility was completed on schedule and confirm our CapEx and OpEx numbers. Now we are changing terms and pricing with customers. And we are expanding our business internationally with the Argentina wins that Roy mentioned during the Investor Day as a goal. The journey towards One TETRA 2030 remains on schedule. Brady, let me turn it back to you for closing comments.
Brady Murphy: Thanks, Elijio. Despite the ongoing macroeconomic and energy market uncertainty, we have strong conviction in the longer-term outlook, our ability -- proven ability to differentiate in the markets in which we operate and our One TETRA 2030 strategy. With that, we'll turn it open for questions.
Operator: [Operator Instructions] Your first question comes from the line of Bobby Brooks with Northland.
Robert Brooks: And I want to congrats Elijio on an incredible career. Just first on the Oasis commercial engineering. It's great to hear you completed the FEED study, but I just wanted to understand, are there any further engineering work that needs to be completed or just maybe more broadly, what are the next steps there?
Brady Murphy: Yeah. No, certainly, Bobby. Yeah. No, the FEEDs is an important milestone because it validates what we had estimated in terms of the CapEx and the OpEx and the overall financials for our desalination technology. 25,000 is still a relatively small-scale commercial plant. We expect, in fact, the discussions we're having are much larger facilities where the economics will even get improved from there as we get higher volumes. But the next steps are really socializing, discussing these -- the economics financials with the customers that we're engaged with. As we've mentioned before, we've got 7 NDAs in place. Those customers have been waiting for us to get to a point where we could have commercial discussions and those discussions are initiated. So as far as additional engineering, we have enough confidence in the engineering that's been done to this point to enter into commercial discussions and a contract. But there is still detailed engineering that has to be done in order to construct the final plant. So that will be part of the next steps.
Robert Brooks: Would that detailed engineering to then construct the final plant would -- is it reasonable to think that that would be kicked off once a commercial agreement was signed or would that maybe come before that win?
Brady Murphy: Yeah. We'll most likely -- I mean, we have high confidence in commercializing this technology. And so we're already getting a proposal together from the engineering firm that we're working with to start the detailed engineering ahead of any commercial contracts.
Robert Brooks: Very helpful color. And then just on the CFP sales, so a step down about [ $90 million ] sequentially, but obviously, it's more importantly up $15 million year-over-year. And obviously, a big factor on the sequential step down is the absence of Neptune jobs and the seasonal industrial calcium chloride sales. What I was hoping to get a little bit more color on is thinking about that $90 million step down, is that all essentially the absence of those two factors? And then reversely, looking at the $15 million year-over-year increase, could you maybe break down what were the different -- break down what were the different factors that drove that growth?
Brady Murphy: Elijio, do you want to take that one?
Elijio V. Serrano: Yeah. So Bobby, the vast majority of it was the European calcium chloride seasonality. And recall that we also had a Neptune -- a well and a half of Neptune that we completed in the second quarter. So it was those two partially offset by the ramp-up in activity in Brazil that we've been talking about.
Operator: Your next question comes from the line of Martin Malloy with Johnson Rice.
Martin Malloy: Elijio, best of luck with your future endeavors upon retirement. First question I wanted to ask about was just in terms of the offshore market. It seems like it's been strengthening for you all. And when you look at the subsea tree orders for the industry, they've been trending up. Can you maybe talk about your confidence as you look forward to '26, '27? And any early indications as to whether Neptune projects are a possibility in '26?
Brady Murphy: Yeah, sure. Thanks, Marty. Look, we have -- we see the same thing you do with the offshore activity from our customers' discussions as well as the subsea tree orders. So yes, we have a strong confidence in '26 and '27 and beyond, quite frankly. We think the deepwater market is going to be on a pretty nice long run, certainly as the U.S. shale play starts to plateau. But in terms of Neptune, I think our pipeline is as strong as it's ever been. So I would say we have a fairly high degree of confidence that we will be executing work in 2026 and beyond with Neptune. Obviously, we don't want to give any specific information on that until we have the well defined, the project awarded and then we can give more detail, but we have a high confidence level.
Martin Malloy: Great. And for my follow-up question, I wanted to ask about on the desalinization side and very encouraging to see that you expect a first commercial project in early 2026. Can you remind us of the capital cost for one of these standard facilities and maybe your outlook for initial couple of commercial projects, whether they're going to be owned by the customer, the facilities that is -- are owned by TETRA, how that breaks down?
Brady Murphy: Yeah. I'll answer the commercial model, Marty, that we are utilizing. First of all, the core technology within the plant will always be owned by TETRA. We have a couple of different commercial models. One is a licensing model -- a long-term licensing model, but TETRA will continue to maintain ownership. We have a shared capital -- project financials as well as one where the customer funds the capital if they have a lower cost of capital and they prefer to do that. So we have a couple of different models with that type of flexibility. But in either case, TETRA will maintain control and ownership of the core technology within the plant itself. As far as the CapEx goes, I think general industry numbers that are out there are $1 million of CapEx for every 1,000 barrels of desal. I would say that those numbers are relative to the core technology that we bring to the equation. There's also civil works and depending on where power is derived for the project that would be addition to that. But those are order of magnitude type numbers that we're confident in.
Operator: Your next question comes from the line of Stephen Gengaro with Stifel.
Stephen Gengaro: I apologize if you touched on this earlier, but at a high level, when we think about '26 versus '25 and we think about the first half of '25 in the fluids side, can you outline the puts and takes into '26, maybe even off the back half of '25, if it's easier given what we know about the deepwater fluids business in the first half? And then maybe along with that, you did mention confidence in the deepwater business. What's the timing look like? Because it sounds like the ramp recovery in deepwater is kind of a mid-'26 event based on what some of the larger cap service guys are playing. And how does that kind of fold into the timing of your product sales?
Brady Murphy: Yes. I'll take that first, Stephen, and then Elijio will let you add some additional comment. So as we look forward to 2026, there's a couple of really strong growth pieces of our business. We mentioned Argentina. The awards that we've recently received, as I mentioned, we should double our revenue in Argentina in 2026 over 2025. Even the Middle East with the recent SandStorm awards, that will be some additional growth for us. Eos will be -- is anticipated to be a very large material ramp-up from us. Eos activity for us in 2025 is well up over 2024, but it's still -- I would say it's not really -- has not been a material part of our business so far. It will -- we believe it will be very much so a material business for us in 2026. As far as the deepwater work, the markets that we're strongest in, the Gulf of America, Brazil, North Sea, particularly on the Norway side, we have good visibility into the projects and our customer plans for those markets in '26. And so we -- that's why we have a confidence level because of those markets and those customers for us in '26. Now the Neptune can move the needle for us, as you well know. Our confidence level, as I've mentioned, is high for 2026. Now whether those come in the first half of the year or second half of the year, we'll give a little more color as we get into the start of the year, a little bit visibility on that. But those are all contributing factors to what we think will be a pretty strong 2026 for us on the deepwater side. Elijio, did you want to add anything?
Elijio V. Serrano: Yeah. Stephen, you referenced an interesting point just on rig activity. Look, as you know, right, the rig count doesn't necessarily -- it underrepresents what our opportunity set is from the completion side. So I would not necessarily take what you're hearing from the drilling contractors about a little bit of a lull in contracting activity and suggest that there's any direct correlation to our outlook for the completion side of the business. And Stephen, to add, if you want to sequence the second half of this year to the first half of next year, Brady mentioned Argentina. We got a ramp-up occurring there. Obviously, we expect yield continues to increase volumes. Every second quarter, we see around a $15 million increase in our Europe calcium chloride business. And the Brazil market continues to perform quite nicely for us. So there's quite a few tailwinds that I think are going to benefit us in the first half of next year compared to the second half of this year.
Stephen Gengaro: I don't know if you'll answer this, but if we exclude Eos, does fluids grow '26 over '25?
Elijio V. Serrano: We believe so because of the deepwater market and the activity that we're seeing out there.
Operator: Your next question comes from the line of Tim Moore with Clear Street.
Tim Moore: Congratulations Elijio for his retirement plan, and he will be well missed. So just maybe starting out on desalination. Can you maybe provide us with an update on the beneficial reuse ag growing season for Eos? I can't remember if that needed maybe two growing seasons. And then just on the topic, you talked about FEED study and progress and everything. Can you just maybe remind us of any remaining regulatory-related milestones that that first customer might have to do in Texas to get signed off to really start the construction?
Brady Murphy: Yeah. I think that the regulatory side of that equation is -- has really been constructive, Tim, over this past year. I mean we're -- again, a reminder that we're not the ones that apply for the permit. Our customers are. So they're the ones who will still own the water and will be responsible for the permitting. But all of the information that we have tells us that that is being well-facilitated by the regulators these days. So no real concerns on that side of it. As far as the program we have with EOG, we do have an NDA in place on that project. And so we're limited to the details that we can give. We can say it's going very smoothly, very successfully. And we're very encouraged by the progress of the pilot. It is a grassland studies as we -- is actually a grasslands growth project. But that's really as much detail as we can share at this point other than it's going very well.
Tim Moore: Understood Brady. That was helpful color. And then just switching gears to Eos Energy. They hold their quarterly earnings call next week on the 6th. Can you just give us a sense of maybe TETRA's lead time visibility on rolling orders? I mean, is it kind of a rolling 60- or 90-day advanced planning period for you to get the solutions ready for PureFlow Plus and electrolytes? I'm just kind of thinking about that as we model out the fourth quarter and that probably ramps up for them and you benefit.
Brady Murphy: Elijio, you want to take that one?
Elijio V. Serrano: Yes. So we're in constant dialogue with Eos on a weekly basis between our manufacturing team and their procurement team at the executive level, appears to be almost like a weekly or every other week call. Once we get purchase orders, we can turn it around quite quickly. As you know, we're producing the electrolyte out of our West Memphis facility. That facility is producing the zinc bromide that is either used for the offshore market or we further purify it and increase the purity levels there to meet the Eos demand. And all the incremental products that we buy are available on short notice. So we can turn around purchase orders within 30 days from Eos.
Tim Moore: Great. That's really helpful color, Elijio. And then my last question is because most of the others already asked and my favorite theme in the last few years has been desalination, but you don't get asked a lot about your calcium chloride business, and we know there's seasonality drop in the third quarter every year. But how would you kind of quantify maybe that overall business 9 months year-to-date? Does it grow more than 5% this year, the industrial calcium chloride?
Elijio V. Serrano: So Brady, I'll take that one. One of the things that we joke about is the leader for our calcium chloride business, Tim Moeller, every time he gets in front of the Board, he talks about a record quarter. And they literally have been achieving a record quarter with the calcium chloride business. They have found additional applications for the calcium chloride. They continue to expand and gain market share. So that business is one of our little crown jewels that probably isn't recognized and appreciated as much as it should. And they've been outperforming the Consumer Price Index by a nice factor.
Brady Murphy: And if I could just add to that, Tim, if we look -- as we laid out in our Investor Day, that business tends to outpace the growth of GDP by something north of 300 basis points.
Tim Moore: No, no. Yeah. It's pretty familiar, but I think investors just really haven't caught on the last few years. I mean it was something like I calculated 35% to 40% of your EBITDA last year, the year before. So I'm always curious of how that's going. It seems like it's going great. So that's it for my questions.
Elijio V. Serrano: Tim, I will add that we updated our investor deck and posted it on our website this morning to reflect Q3 numbers, and it includes TTM Q3 calcium chloride revenue and the trend. I encourage you to take a look at it to appreciate how that business is performing.
Operator: Your next question comes from the line of Josh Jayne with Daniel Energy Partners.
Joshua Jayne: First, just as we think about offshore opportunities into next year, you've hit on it a little bit. Maybe you could just talk through your key markets, Brazil, Gulf of America and North Sea. And in the event that we've seen this over the last couple of years, things can slip to the right when thinking about offshore projects. Could you discuss which of those markets you may expect to hold up better than others in the event operators become increasingly cautious and just talk through those opportunities a bit more.
Brady Murphy: Yeah, sure, Josh. I mean, I think keep in mind, the Brazil awards that we were awarded, we've really only seen a half a year of benefit from Brazil this year. So next year, we're expecting to see a full benefit and not really anticipating any change to that program. I would say the same for the Gulf of America. We've mentioned in our Investor Day as more and more operators start moving out to the lower tertiary, these wells have significant productivity. And even in a lower cost environment, we anticipate those projects to continue to move forward. So no real change in our outlook for Gulf of America. And then North Sea, I'd say the same. Equinor and the businesses in Norway continue a very strong pace. Again, we're not anticipating much change there. Now keep in mind, the rest of the markets, even though we may not have a strong service operation in a lot of other deep markets around the world, we do sell our completion fluids through the major service providers. Since again, they don't manufacture their own completion fluids. They buy them from companies like TETRA. So we actually have a pretty strong market presence around international markets around the world, but through the service providers. That can probably be a little bit more volatile than the three key markets that I've mentioned, and we'll see as we get into the 2026 planning process with our customers. But again, everything we're hearing about the deepwater market is a multiyear growth story for us.
Elijio V. Serrano: Josh, the other thing I would add is if you look at our investor deck and our historical results for the Completion Fluids & Products segment, those margins hold up in almost any cycle. During COVID, we saw margins improve in -- during the two COVID years over the prior year. So that business has strong resilient margins even during slower periods.
Joshua Jayne: Absolutely. And then as a follow-up, I just wanted to -- maybe you could talk about SandStorm and opportunities in Saudi just as a -- how do you see that evolving as potentially a multiyear opportunity? Could you speak to that a bit more? And is that the type of product and business that is ultimately going to consume more of your capital over the next two to three years?
Brady Murphy: Yeah, absolutely. Yes. I mean it's a very exciting opportunity for us. I mean we're starting to really see unconventional activity outside of the U.S. ramp up. As I mentioned, our Argentina growth, which really was fueled by SandStorm and our production testing capabilities is going to double next year compared to this year -- is anticipated to double compared to this year. Now Saudi, we're not seeing that type of growth yet, but having our first award with SandStorm is a great start because it typically leads to the growth of other pieces of our business as we've seen in Argentina. So yeah, we're very excited about getting a foothold into that market with such a key piece of technology that will be a catalyst for growth for us.
Operator: There are no further questions at this time. I will now turn the call back over to Brady Murphy for closing remarks.
Brady Murphy: Thank you. I appreciate everyone joining us for the call today. Again, despite the current macro and energy market uncertainty, again, we have very strong convictions in our base business performing to the levels that it is as well as the future outlook, again, related to our One 2030 strategy. So thank you very much for your participation. We'll conclude the call.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining. You may now disconnect.